Operator: Good day, everyone, and welcome to the Navios Maritime Holdings Q3 2022 Earnings Conference Call [Operator Instructions]. Please note that this call may be recorded, and I will be standing by should you need any assistance.  It is now my pleasure to turn the conference over to Michael Pearson. Please go ahead.
Michael Pearson: Good morning, and thank you for joining Navios Maritime Holdings third quarter 2022 earnings conference call. We are pleased to host this call from the Cayman Islands. I will now turn the call over to Ms. Daniela Guerrero, who will take you through the conference call details and safe harbor statements. Daniela?
Daniela Guerrero: Thank you. As a reminder, this conference call is being webcast. To access the webcast, please visit the Investors section of Navios Maritime Holdings Web site at www.navios.com. You'll see the webcast link in the middle of the page, and a copy of the presentation referenced in today's call will also be found there. Now I will review the safe harbor statement. This conference call could contain forward-looking statements under the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Maritime Holdings. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Maritime Holdings management and are subject to risks and uncertainties, which could cause actual results to differ from the forward-looking statements. Such risks are more fully discussed in Navios Maritime Holdings' filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Navios Maritime Holdings does not assume any obligation to update the information contained in this conference call.
Michael Pearson: We will begin this morning's conference call with Navios Holdings' Chairman and CEO, Ms. Angeliki Frangou. Angeliki?
Angeliki Frangou: Thank you, Michael, and good morning to all of you joining us on today's call. I am pleased with the results for the third quarter of 2022. We generated net income of $39 million. Q3 2022 marks a turning point for Navios Holdings. Please turn to Slide 4. Our future results will be materially different as a result our dry fleet for $835 million, taking advantage of a strong dry bulk market. The sales generated $370.6 million in cash which we primarily use to break down on debt, substantially deleveraging the company. Given the change in the nature of the underlying business, we also offer preferred stockholders a liquidity event in the form of a tender offer. We used $9.2 million to repurchase 604,343 shares originally issued for about $15 million and eliminated an $1.3 million annual dividend obligation. After the sales, Navios Holdings owns a 10.3% ownership interest in Navios Partners, an diversified marine transportation company. We also own 63.8% ownership in Navios South American Logistics, and logistics and infrastructure provided in the Hidrovia region of South America. We are focused on developing Navios South American Logistics and have implemented a management succession plan. I am pleased to report that George Achniotis has been appointed as the CEO of Navios South American Logistics. George and I have worked together for almost 20 years, and I'm confident in his leadership. George has worked closely with the Navios South American Logistics team for many years. So this move was natural. He has moved to Buenos Aires on a full-time basis. He will also serve as the CFO of Navios Holdings. [Claudio] will obviously continue as an active Vice Chairman, and we hope to benefit from his experience and wisdom for many years. I would also like to mention a few other promotions; Ioannis Karyotis, Navios South America Logistics long-time CFO has been appointed as the Chief Operating Officer; and Enrique Ferrando, formerly our Vice President of Finance, has been appointed as the CFO. You will see that there have been changes throughout the ranks of management and George will discuss this in greater detail. We believe that this is a large commercial opportunity in the region. While this may take some time to develop, the global focus on food and energy security among other catalysts is having a positive impact on the development of logistics assets in the Hidrovia region. There has been renewed interest in the [Corumba] region of Brazil for mining assets. Overall, increasing volumes are creating new business opportunities. We hope to take advantage of the developments with our team. I would like now to turn the call over to Mr. George Achniotis who will go through the financials. George?
George Achniotis: Thank you, Angeliki. Please turn to Slide 5 for a review of the Navios Holdings financial highlights for the third quarter and the first nine months of 2022. I want to point out that the results of this quarter were affected by the sale of the fleet to Navios Partners. Following the completion of this sale, the results of the dry bulk fleet have been reported as discontinued operations. The sale of the fleet has resulted in a net gain of $102 million. Going forward, the consolidated results of the company will mainly reflect the results of Navios South American Logistics. EBITDA for the quarter was about $150 million compared to $116 million in Q3 of 2021. In addition to the gain from the sale of the fleet, the results of Q3 include a $98 million, other than temporary impairment of our investment in Navios Partners. Net income for Q3 was $39 million compared to about $60 million in Q3 of '21. In addition to the items that affected Q3 EBITDA, net income was also affected by fees for the prepayment of debt. Moving to the nine month financial highlights. EBITDA for the first nine months of 2022 was $323 million compared to $251 million in the same period of '21. EBITDA was affected by the same items that affected the Q3 results. Net income for the period was $79 million compared to $85 million in '21. In addition to the items that affected Q3 EBITDA, the results were also affected by fees and prepayment charges for the refinancing of our debt in Q1. Moving to Slide 6 and our balance sheet highlights. As of September 30, 2022, the cash balance was about $91 million compared to about $138 million at the end of December '21. I want to remind you that at the end of December, $84 million was restricted cash that was deposited with the trustee of the ship mortgage notes in order to facilitate the repayment of the notes in January. Following the sale of the fleet in Q3 and the repayment of the maturity of our obligations, the consolidated balance sheet mainly reflects the balance sheet of Navios South American Logistics. Please turn to Slide 7 for an overview of Navios South America Logistics. Navios Logistics operates three port terminals, which provide about 90% of or EBITDA. These are complemented by our barge fleet for river transportation and product tanker fleet for coastal cabotage trades. Turning to Slide 8, as Angeliki already mentioned, in the past month, we proceeded with changes in the Board of Directors and the management of the company. Ioannis Karyotis as our new COO; Enrique Ferrando is the new CFO; and Mariana Rebolo is the new Chief Risk Officer, and I have achieved the position of CEO. We have also strengthened our commercial and business development team with the appointments of [indiscernible] and Francisco Tazelaar. As new management, we are all very excited with the opportunity ahead of us. Our strategy is to maximize the return of our existing assets, provide innovative logistics solutions to our clients and capture new business opportunities. We have unique infrastructure assets in the region, which we want to leverage to serve our existing clients and develop new business opportunities. At this point, I'll turn the call over to Ioannis Karyotis for an update on recent developments. Ioannis?
Ioannis Karyotis: Thank you, George. Please turn to Slide 9. The global focus on food security should benefit agricultural exports from South America. In the first nine months of 2022, grain exports through our port in Uruguay were 45% higher than the same period last year, mainly driven by higher Uruguayan exports of soybeans. According to the USDA, the 2022/'23 South American soybean crop should continue to strengthen. Importantly for our grain terminal, Paraguayan crop production is expected to recover from a difficult 2021/'22. The outlook for mineral transportation and transshipment is positive. We see revived interest in exploiting mineral assets in the Guruma region of Brazil, which are then transited through the Hidrovia river system. We expect J&F will increase production from the mines recently acquired from Vale, driving more actual volumes through our terminal. To other regional iron ore producers, Vetria and 4B Mining, both use our terminals to export iron ore currently mainly into Europe. We believe that this increase in interest will not only benefit our port and barge business directly, but also will create new opportunities for revenue growth. In the last couple of years, low water in the Parana and Paraguayan rivers made navigation difficult, adversely affecting our barge business. In 2022, water level improved compared to both 2020 and 2021, yet is still below the historical average. In addition, the poor Paraguay and soybean crop in 2022 reduced demand for dry cargo bulk transportation. The cabotage market conditions are improving. In the 9 month period, our fleet employment increased 13% compared to the same period last year and charter rates are gradually improving following the strong targeted market internationally.  I would now like to turn the call over to Enrique Ferrando, Navios Logistics CFO, for the discussion of the financial results.
Enrique Ferrando: Thank you, Ioannis. Please turn to Page 10. Q3 2022 adjusted EBITDA was $29.1 million, 25% higher compared to the same quarter last year. Port segment adjusted EBITDA grew 32% to $25.8 million, mainly driven by a 38% increase in the grain port throughput attributed to higher Uruguayan export of soybeans higher tariffs at the iron ore port terminal following the annual inflation adjustments embedded into our Vale contract, as well as increased iron ore throughput from the clients 4B Mining and Vetria. In the [bulk] segment, Q3 2022 adjusted EBITDA decreased 73% to $0.5 million, mainly due to low demand on dry cargo. In the cabotage business, Q3 2022 adjusted EBITDA increased by $1 million to $2.9 million due to more operating days of the fleet as the market environment in Argentina has improved compared to last year, following a recovery of the demand after the end of the lockdowns. For Q3 2022, adjusted profit was $4.8 million compared to $4.3 million loss in the same period last year, mainly due to improved port segment performance and lower income tax on the Argentinian operations. Turning to the financial results for the nine month period ending September 30, 2022. Revenue increased 16% to $201.9 million. Adjusted EBITDA increased 24% to $85.3 million and adjusted profit increased by $13.4 million to $10.8 million compared to the same period last year. Please turn to Slide 11. Navios Logistics has no significant debt maturities until 2025. Cash and cash equivalents at the end of the third quarter of 2022 were $52.8 million. This concludes my presentation. I would like now to turn the call over to Angeliki for her final comments. Angeliki?
Angeliki Frangou: Thank you, Enrique. This completes our formal presentation for the Q3 results. Thank you very much.
Operator: